Operator: Thank you for standing by and welcome to the Viad Corp Third Quarter Earnings Conference Call. At this time, all participants are on a listen only mode until the question-and-answer session of today’s conference. [Operator Instructions] This call is being recorded. If you have any objections, you may disconnect at this time. May I introduce your speaker for today, Carrie Long, Finance and Investor Relations Executive Director. Please go ahead.
Carrie Long: Good afternoon and thank you for joining us for Viad’s 2018 third quarter earnings conference call. During the call, you will hear from Steve Moster, our President and CEO and Ellen Ingersoll, our Chief Financial Officer. Certain statements made during this call, which are not historical facts, may constitute forward-looking statements. Information concerning business and other risk factors that could cause actual results to materially differ from those in the forward-looking statements can be found in our annual and quarterly reports filed with the SEC. Additionally, we will be referring to certain non-GAAP measures during the call, including income or loss before other items, adjusted segment EBITDA and adjusted segment operating income or loss. These measures exclude restructuring and impairment charges or recoveries, acquisition transaction related and integration costs as well as FlyOver Iceland startup costs. Important disclosures regarding these measures, including reconciliations to net income attributable to Viad can be found in table two of our earnings press release, which is available on www.viad.com. With that, I will turn the call over to Steve.
Steve Moster: Thanks everyone for joining us on today’s call. Our third quarter income per share before other items was $1.72 per share, which was up 29.3% from the 2017 quarter, but below our prior guidance range due to the impact of forest fires that caused growth within our Pursuit business to be lower than previously anticipated. Throughout much of August, conditions in Banff and Jasper National Parks were challenged with smoked drifts from the forest fires in Western Canada. They caused core visibility and air quality. Glacier National Park was thoroughly affected where the Howe Ridge fire forced the temporary evacuation of parts of the park, including our 27-room motel like McDonald and the closure of portions of the Going to the Sun Road. I am proud of how well our Pursuit team responded to these challenging conditions. Their ability to delivering year-on-year organic growth of 7.3% is a testament to the strength of our team, our revenue management initiatives, and our Refresh, Build, Buy strategy. During the quarter, we saw continued improvement in many of our key performance indicators for Pursuit, including same-store revenue per passenger and RevPAR. One exception was attraction of passenger volumes, which declined 2.1% year-over-year due to poor visibility and air quality that hampered volumes at our Vamp and Jasper based attractions. However, our overall attraction revenue increased 6.3% on an organic basis as we were able to capture higher revenue per passengers from a combination of food and beverage sales, retail sales and higher effective ticket prices. On a same-store basis, our attractions revenue per passenger was up 7.1% versus 2017 quarter. In our hospitality assets, same-store RevPAR increased 2.5% despite lower occupancy levels caused by the fires. Through combination of higher RevPAR, the reopening of our upgraded Mount Royal Hotel and higher ancillary revenue from food and beverage and retail sales across our hospitality properties, Pursuit drove an overall increase in hospital revenue of 10% on an organic basis. I am happy to report that initial guest feedback on the upgraded Mount Royal Hotel experience has been extremely positive and we have realized significantly higher RevPAR which were up 34% as compared to pre-renovation RevPAR in the third quarter of 2016. As evidenced by our performance this quarter, our Refresh, Build, Buy strategy continued to pay dividend and our revenue management initiatives are enabling us to adjust pricing based on current market conditions to maximize revenue. We have several additional build and refresh projects that are either currently underway or in the final stages of planning that will help fuel Pursuit’s growth, continued growth in 2019 and beyond. On the Build side, we have the new FlyOver Iceland attraction in Reykjavik. The West Glacier RV Park & Cabin Village at Glacier National Park and a 36-room expansion of our Seward Windsong Lodge near Kenai Fjords National Park. I have discussed each of these growth projects in detail in the past and I am pleased to report that they are all tracking to be complete in time for the 2019 peak tourism season. On the Refresh side, we will be investing to enhance the guest experience at several locations during this off-peak season. Our 32-room Glacier View Inn at Glacier – at Jasper National Park will be renovated to provide an elevated lodging experience that matches its incredible views of the majestic Columbia Icefield. We will also be renovating the food and beverage and retail offering at Maligne Lake and Maligne Canyon in Jasper National Park to maximize the revenue and profit potential of these operations which are located in picturesque and remote areas with high levels of tourism and little to no direct competitors. In total, we will be allocating about $35 million against these Build and Refresh projects, including nearly $24 million that is expected to be spent by the end of 2018 and we expect the combined EBITDA contributions from these projects to be in the range of $5 million in 2019. We are fortunate to have many organic growth opportunities across Pursuit that we can execute against while we continue to pursue buy opportunities in our acquisition pipeline. Overall, I am very excited about the progress we are making towards our strategic goals for Pursuit with ample reviewing growth opportunities for 2019 and an active acquisition pipeline we remain committed to scaling the Pursuit business through disciplined investment that creates strong shareholder value. Switching gears to GES, we have realized healthy same show revenue growth during the third quarter as well as strong performance from our non-annual events and continued corporate event wins. These are all positive indicators of the strength of our service offerings and the overall industry growth. Across our third quarter in the U.S. based same shows which are shows that we produce every year out of same city, we have realized an overall revenue growth rate of 5.3%. As expected, we did experience decline in certain retail focused events and we are also seeing softer participation in many other shows, while we continue to see the majority of shows grow year-on-year. Additionally, the Biannual International Manufacturing Technology Show, which is the largest manufacturing show in America reported new records for attendance, exhibit space and number of exhibiting companies. Another major non-annual event that we produced during the quarter, the Farnborough International Airshow in England, reported that its trade attendance increased by nearly 10%. Although we have given revenue visibility at GES, because most of our events are contracted well in advance, there is a portion of our revenue that gets booked and delivered on fairly short notice. Unfortunately, our sales of these shorter lead time events and projects came in below our expectations during the third quarter causing us to miss our revenue guidance for GES. Additionally, while our longer term sales pipeline remains strong, we are not seeing as much growth opportunity from short-term bookings in the fourth quarter as we have previously anticipated. We are disappointed to fell short on our revenue and growth goals for 2018, but we remain optimistic about GES’ strategic direction and future opportunities. We continue to gain important traction in corporate events and audiovisual production services, which remained areas of strategic focus for us with our large market sizes and attractive margins. With AV services representing about 50% of the total client spend on a corporate event we are well positioned to continue growing both of these revenues streams in tandem. Leading with our audiovisual services, we are able to win additional corporate event business from a Fortune 500 manufacturer of agricultural equipment. After successfully delivering select AV services on various events for this client in the past, we were invited to bid for and won one of the larger biannual events that will take place later this year. For this event, we will be providing design services, a theme and messaging for the general session and a staging technical support. This is a great example of leveraging our AV services to win new corporate event business. We are off to leveraging existing corporate event exhibition and conference relationships to pull-through or cross-sell our AV services. For example, we successfully expanded our scope of work for two large third quarter corporate event clients to include audiovisual production services for their general sessions. In another instance, we are able to add audiovisual services to our scope of work for the American Academy of Physical Medicine and Rehabilitation’s annual assembly, which is a recent multiyear renewal. Additionally, adding AV services to our suite of offerings has helped us to continue to move up the value chain in terms of experience of solutions we can bring to our clients. During the third quarter, our AV team engaged with an existing corporate event client looking to enhance the overall attendee experience at the event general session. As of solution, we designed a unique LED wall with curved tiles and projection mapping to create an immersive experience that submerse the attendees in this unique visual environment. I am proud of the team for their continued efforts to accelerate the taste of our growth in these two important areas. Last quarter, I mentioned that we recently secured in-house appointments for audiovisual production services at two large event venues, the San Diego Convention Center and The Brewery in Central London. I am pleased to report that we now are fully established in this venue and delivering successfully. As we seek to grow our AV services in areas where we can leverage the full spectrum of our service offerings, like corporate events and conferences, we have also taken a look at areas where our acquired AV services are not well-aligned with the rest of our offering. To that end, we are redirecting efforts in select resources previously focused on the concert entertainment end market, where we have little to no pull-through of our other services or customer overlap to support growth in segments that are better aligned with our core capabilities. Overall, I am pleased with the progress we are making towards our strategic goals and bolstering the GES’ competitive position in the marketplace. With an enhanced set of offerings, our team is making good progress expanding existing relationships and identifying new opportunities. The addition of audiovisual and event technology services is strengthening our competitive position helping to differentiate GES in the marketplace and providing new avenues of growth. And now, I will turn it over to Ellen to provide more colors on the financials. Ellen?
Ellen Ingersoll: Thanks, Steve. For the third quarter, we posted income before other items of $1.72 per share on revenue of $358.2 million, adjusted segment EBITDA of $73.1 million and adjusted segment operating income of $57 million. As Steve mentioned earlier, these results were better than prior year, but below our prior guidance due to the impact of forest fires on Pursuit during its seasonally busy third quarter. While GES revenue was below our expectations, it’s operating income was in line due to a reduction in performance-based incentive. As compared to the 2017 third quarter, our income per share before other items grew 29.3%, consolidated revenue increased $19.1 million adjusted segment EBITDA increased $9 million, and adjusted segment operating income increased $8.6 million. These increases were primarily driven by positive show rotation at GES and continued organic growth at Pursuit. Now, I will move on to the business group results. GES posted third quarter revenue of $246.1 million, adjusted segment EBITDA of $10.6 million and adjusted segment operating income of $1.2 million. As compared to the 2017 third quarter, revenue was up $14 million on an organic basis, which excludes the impact of unfavorable exchange rate variances the revenue increase was $14.7 million or 6.3%. U.S. segment organic revenue increased $6.9 million driven by positive show rotation revenue of about $19 million. We also realized 5.3% growth in our U.S. based same show revenue, which represented 29.1% of U.S. revenues during the quarter. These favorable factors were partially offset by certain non-recurring business produced during the 2017 third quarter, which consisted primarily of one-time events and projects that are typically sold on shorter lead times. Our 2017 third quarter happen to have an unusually high level of short-term bookings and we reverted back to more normal levels this quarter. Organic revenue for GES international segment increased by $3.5 million or 6.5% primarily due to positive show rotation of approximately $9 million partially offset by certain non-recurring business produced during the 2017 third quarter. GES’ adjusted segment EBITDA and adjusted segment operating income both increased $6.7 million from the 2017 quarter. On an organic basis, those increases were $6.8 million and $6.7 million respectively primarily driven by reductions in performance-based incentives due to a revised full year outlook and flow-through on the revenue growth we have realized during the quarter, which more than offset 2017 third quarter income of $2.8 million related to contract settlement. Pursuit posted third quarter revenue of $112.1 million, adjusted segment EBITDA of $62.5 million and adjusted segment operating income of $55.8 million. As compared to the 2017 third quarter, revenue was up $5.1 million. The organic revenue increase which excludes unfavorable exchange rate variances was $7.8 million or 7.3% driven mainly by continued growth from our attractions and hospitality assets. Through continued revenue management efforts, we have realized a 7.1% increase in same-store revenue per passenger and our same-store RevPAR grew by 2.5% versus the prior year. Additionally, our Mount Royal Hotel, which reopened in July after being closed due to prior damage in December 2016, contributed incremental revenue of $2.2 million during the quarter. As Steve mentioned earlier, we are realizing much higher RevPAR at the Mount Royal Hotel as compared to its pre-renovation state with very positive guest reviews. Pursuit’s adjusted segment EBITDA increased by $2.9 million on an organic basis. Adjusted segment operating income increased by $3.4 million also on an organic basis. These results primarily reflect strong flow-through on the revenue growth we have realized during the quarter. Now, I will cover some cash flow and balance sheet items before discussing 2018 guidance. Viad’s consolidated cash flow from operations increased $70.2 million for the 2018 third quarter from $55.4 million in the 2017 quarter primarily due to higher income. Capital expenditures totaled $21.5 million for the quarter, up from $12 million in 2017 primarily due to investments at Pursuit, including the development of Flyover Iceland, the construction of West Glacier RV Park and the rebuilding of the Mount Royal Hotel. At September 30, our cash and cash equivalents totaled $55.5 million, our debt was $200.8 million and our debt to capital ratio was 29.6%. And I am pleased to report that we amended and restated our credit facility yesterday to provide additional debt capacity, the flexibility with the longer term that extends another 5 years. That agreement now provides us with a $450 million revolving credit facility and a $250 million accordion future. Prior to that amendment, we had a $175 million revolver, $125 million term loan and a $100 million accordion. The amendment also included revisions to our covenant package that will allow us more flexibility to deploy capital towards acquisitions and other investments that enhance shareholder value. Importantly, acquisitions are now permitted up to a maximum leverage ratio of 2.5x EBITDA, whereas we were previously limited to a pro forma leverage ratio of 3x for acquisitions. Additionally, we were able to obtain more favorable interest rate spreads over LIBOR with the amendment. And now moving on to guidance, given the shortfall we experienced during the third quarter and based on our current sales pipeline for GES, we are reducing our full year outlook for both business units. For Pursuit, we now expect full year adjusted segment EBITDA to be in the range of $67.5 million to $69.5 million as compared to our prior guidance of $69 million to $71 million. This revision takes into account the impact of fires on Pursuit’s peak season during the third quarter partially offset by actions to reduce expenses during the balance of the year. Pursuit’s full year revenue is currently expected to increase by approximately 6% to 7% whereas our prior guidance was for high single-digit growth. For GES, we now expect full year adjusted segment EBITDA to be in the range of $78.5 million to $81.5 million as compared to our prior guidance of $85 million to $88 million. This revision reflects lower revenue expectations partially offset by a reduction in performance-based incentives. GES’ full year is currently expected to decrease by about $27 million to $37 million, whereas our prior guidance anticipated revenue would be essentially flat to 2017. Our prior revenue guidance assumed that we would be able to offset negative show rotation with growth in other areas of the business. And as Steve mentioned, we have realized solid same-show growth and we continue to win in strategically important areas like corporate events. However, we are capturing lower revenues from one-time events and shorter lead time events and projects relative to 2017 which was a particularly strong year. At the consolidated level, we expect adjusted segment EBITDA to be in the range of $146.5 million to $150.5 million. This compares to $154.2 million in 2017 reflecting a decline at GES related to share rotation, partially offset by continued growth at Pursuit driven by our Refresh, Build, Buy strategy and revenue management efforts. We currently expect our full year operating cash flow to be in the range of $80 million to $90 million as compared to our prior guidance of $105 million to $115 million. And this decrease is largely due to our revised revenue outlook and changes in working capital. Full year capital expenditures are expected to be in the range of $87 million to $93 million, which is down from our prior guidance of $92 million to $98 million, due to lower spending at GES. As a reminder this CapEx guidance includes approximately $19 million spent on the restoration and renovation at Mount Royal Hotel and approximately $10 million for the development of our FlyOver Island attraction. The Mount Royal Hotel expenditures were funded primarily by the property insurance proceeds we have received during 2017 with FlyOver Island expenditures are being funded primarily out of our 2017 capital contribution relating to the FlyOver Island projects. For the fourth quarter we are expecting income per share to be in the range of a loss of $0.11 to income of $0.04 as compared to a loss of $0.26 in 2017 quarter. The expected improvement primarily reflects stronger year-over-year results from GES. For GES, we expect fourth quarter revenue to increase by about $4 million to $14 million on the 2017 quarter primarily as a result of positive show rotation revenue about $5 million, continued same-share growth and new business wins. GES’ fourth quarter adjusted segment operating income is expect to increase by about $7 million to $10 million versus the 2017 quarter primarily driven by a flow through of higher revenue as well as lower expenses including performance based incentives. For Pursuit we expect fourth quarter revenues to increase by about $1 million to $3 million excluding an unfavorable FX impact of about $500,000. This increase during a seasonally slow quarter primarily reflects the reopening of our Mount Royal Hotel as well as continued focus on revenue management and other refresh efforts. Pursuit’s fourth quarter adjusted segment operating loss is expected to be in the range of $4 million to $6 million as compared to a loss of $5.5 million in the prior year. Additional 2018 guidance can be found in the earnings press release. And Steve back to you.
Steve Moster: Thanks, Ellen. In closing, I am pleased with our continued progress against key strategic goals. We are driving growth in important areas in GES and continuing to scale Pursuit with a sharp focus on enhancing the experience of our clients and guests. And I want to thank the entire Viad team for their dedication to driving long-term shareholder value as well as for their efforts to deliver solid financial performance despite the negative show rotation and other headwinds we faced this year. I am confident that in our strategy and excited about the opportunities that lie ahead for our company. And with that, we will open up the call for questions. Operator, can you please open up the call?
Operator: Thank you. [Operator Instructions] And our first question comes from Kartik Mehta from Northcoast Research. Kartik, your line is now open.
Kartik Mehta: Hey, good evening Steve. Just looking at the fire, thinking about the fire that occurred at the go national parks, do you anticipate that would have any impact for next year or do you think it will be isolated to this year?
Steve Moster: Thanks for the question, Kartik. I really think that the fires are isolated to this year and will not have an impact on visitation in 2019.
Kartik Mehta: And then I guess on the GES side, the shorter term lead projects that I guess didn’t come to fruition in the third and fourth quarter, is there any carryover into 2019 there or is 2019 just a fresh start and you should be able to continue down the path that you had before?
Steve Moster: 2019 is going to be a fresh start for us in some of these shorter term bookings and delivering of these events. So I view it as a fresh start and there won’t a carryover from 2018 at second half of the year.
Kartik Mehta: And just the last question on now with the new credit line that’s in place just an idea of what you anticipate from our interest expense standpoint, especially going into next year?
Ellen Ingersoll: And we haven’t given any guidance for next year yet, Kartik, but our interest rates are about 25 basis points less per leverage ratio tier. So we did get better pricing on the interest rate side and we will see how that carries into 2019 depending on what projects we have in place and when we drawdown net debt.
Kartik Mehta: Right. I guess I was asking as if based on just where the balance sheet is today, not what you might add just to get a sense of what the new amendments did?
Ellen Ingersoll: So, we have about $200 million in debt right now. Our pricing is 25 basis points better, but again with rates rising we will see what happens when it goes into ‘19 but we are starting off at a lower base than we were with credit – our pharma credit agreement.
Kartik Mehta: Thank you. Appreciate it. Thank you.
Steve Moster: Thanks, Kartik.
Operator: Thank you. And our next question comes from Steve O'Hara from Sidoti. Steve, your line is now open.
Steve O'Hara: Hi, good afternoon.
Steve Moster: Hi, Steve.
Steve O'Hara: Hi. Just quickly, I don’t know if it was in the release, maybe I missed it, but did you estimate what the impacts of the fires were on the quarter in terms of the margin or the operating income in the quarter?
Steve Moster: Yes. We were tracking actually to meet guidance prior to the fires coming up in August and fires and smoke, because most of the smoke impact was in the Banff Jasper collection, most of the fire impact was in the Glacier National Park collection. So we are tracking to our guidance prior to that happening.
Steve O'Hara: Okay. So, it was kind of within guidance and then what that would be?
Steve Moster: I think in particular interest is what I am excited about is that despite that change in passenger volume at the attraction we were still able to deliver strong revenue per pack through F&B and through retail and effective ticket price, which kind of seriously the strength of our asset during challenging times.
Steve O'Hara: Okay. I mean just maybe a question, but would you be able to push price more given the issues during the period, because maybe there is fewer options available in the market that time?
Steve Moster: Yes. We were capturing very strong food and beverage retail and probably a little less on effective ticket price during the periods where there was smoke in the air. And if you can just think about it logically what’s happening is people may not be at the attractions, but our food and beverage they are staying inside and eating at our restaurants and shopping in our gift shops. So, we are still able to see strong growth in those areas despite while the fires were going on.
Steve O'Hara: Okay. And just on the short-term bookings you mentioned if I recall there was an issue in the previous quarter and then you talked about the lower performance-based incentives, I mean was there a change in compensation for the sale team in terms of going after short-term bookings or I guess what led to maybe the lower level of wins versus last year, I mean is your pricing different or what’s the issue there?
Steve Moster: Projects that we have. There are short-term bookings, which means you don’t have a lot of visibility. I am happy to say that our win rate continues to be very strong quarter-over-quarter and year-over-year. There really just wasn’t as many opportunities out in the marketplace as we had anticipated based on our pipelines. And so there is not a change in the incentives or the pricing that we have setup for our sales teams in those categories. It’s more of a factor of what’s happening in the marketplace and again we continue that strong win rates or just weren’t as many opportunities to capture.
Steve O'Hara: Okay. And then maybe just lastly on 2019 and 2020 show rotation, is there any other kind of early look or bracket that you think about for 2019 and then the flow-through for 2020 still kind of I think it was $100 million range. Is that still the case?
Ellen Ingersoll: It is. And so ‘19 is a negative about $25 million to $30 million and 2020 is around $100 million positive.
Steve O'Hara: Okay. And that’s kind of you go down $25 million in ‘19 you go up $100 million for ‘19 does that make sense?
Steve Moster: That’s right, yes.
Steve O'Hara: Okay, alright. Thank you very much I will jump back in queue.
Steve Moster: Thanks Steve.
Operator: Thank you. And our next question comes from Marco Rodriguez from Stonegate Capital Markets. Marco, your line is now open.
Marco Rodriguez: Thank you for taking my questions. I was wondering if I could kind of follow-up on GES in the short-term projects, can you talk a little bit about your prior statement to one of the questions where you think there is going to be a fresh start to use your words on fiscal ‘19 kind of what gives you the confidence that these opportunities will start to increase in numbers as you head into fiscal ‘19?
Steve Moster: Yes, it’s a good question, Marco. When I look back at last quarter we saw a strength in short-term bookings and these projects again, we don’t have a tremendous amount of visibility when we enter into the year, we kind of monitor as we go, but we know overall what we could expect within a year from short-term bookings. So, the reason why I am optimistic as we go in to 2019 is I believe that we will see that market opportunities for short-term bookings continue to be similar to what we see in prior years and it’s just incumbent on us to continue to execute at a high level and win those events.
Marco Rodriguez: Understood. And maybe can you talk a little bit about what are sort of the drivers that are up there for that end-market that kind of make those move up and down?
Steve Moster: Yes. Well, the decision process determining whether or not you are going to win or lose an event, it’s really I think we provide great creative and strategic services for our clients, usually where we see it is the timing of those events doesn’t fit well within our production schedule meeting. We are busy on other events. We may price appropriately and therefore be priced out of that opportunity. So it’s more around financial consideration than it is around what I’d call the creative or strategic parts of the job.
Marco Rodriguez: Understood. So, maybe it’s a little bit more of a pricing type market versus stepping up to a Cadillac version, if you will?
Steve Moster: Correct. What we do is – our pricing obviously is variable depending on the capacity we have within our network. And so as we are tackling larger projects, our pricing goes up on smaller, less visible projects. Does that make sense?
Marco Rodriguez: Understood. And then it’s helpful with the anecdotes that you provide in terms of the higher margin services that you are going after in GES worth corporate events in AV, is there anyway that you perhaps quantify where you are kind of sitting, where you are tracking versus your expectations. I know that you do provide a percent of sales on your fiscal ‘17 numbers, but any sort of additional data points that you can give us in between the years it will be helpful?
Steve Moster: I think what I would point to is in our investor presentation there is a series of goals that we have set out specifically around this topic. So, we look specifically that we would like to have 50% of our revenue for GES coming from non-exhibition categories of live events, so that would be from conferences and from corporate events and a little bit from consumer events. Additionally, we target that we want to have $250 million coming from these new services like audio visual and event technology. And so I mean those gives you kind of a framework of what we are going after and through our results for the full year, you can see kind of the progress that we have made against those.
Marco Rodriguez: Got it. And then maybe if you could when we are looking into ‘19 you provided some nice potential positive drivers for Pursuit, just kind of wondering aside from the show rotation that you will see in fiscal ‘19 what sort of opportunities are you looking at there that to trying to drive growth there and then what are some of the main risks you are looking at?
Steve Moster: So, again, at Pursuit, I am really encouraged by the organic growth opportunities that we have that we outlined on this call and on previous discussions and I am also excited about kind of pursuing our pipeline of acquisitions that we have for Pursuit just given the fact that we have seen increasing RevPAR year-over-year and also revenue per passenger on our attractions during what I would consider a pretty challenging environment specifically in August. So I am encouraged by that. On the GES side, there is negative show rotation going into 2019. What I am still encouraged by is that there is strong same show growth. So we mentioned earlier, it’s about 5.3% for the quarter and that’s in line with what we had expected from a mid single-digit growth and what we have expected kind of for the last couple of years. I believe that will continue to be in that mid single-digit range. I am also really encouraged by how we have been able to leverage our audio visual business in order to win new work on corporate events and within the exhibition. And so I am pleased with how we have grown our event business and I think that going forward is also an area of strength for us as we go into 2019.
Marco Rodriguez: Got it. Last quick question, your acquisition pipeline, any updates in terms of what valuations kind of look like and the number of deals you might be looking at to kind of compare and contrast?
Steve Moster: Yes. Again, I would classify our acquisition pipeline for both businesses as being robust. We are actively looking at opportunities for both businesses. In terms of valuations, these are unique markets specifically for Pursuit and a unique industry for GES that we are looking at. So, they don’t always follow the curve that is out there in the marketplace, but we have seen some higher valuations, we have seen some that are within our range and we continue to pursue growth opportunities. We believe that our track record both in organic investments as well as acquisition investments has really played out well for us over the last several years and we will continue to pursue that.
Marco Rodriguez: Understood. That’s all I got. Thanks a lot, guys. Appreciate your time.
Steve Moster: Thanks Mark.
Operator: Thank you. And at this time, we show no further questions in queue. [Operator Instructions] Speakers, we show no further questions.
Steve Moster: Thank you very much. Okay, thanks everybody for your questions and your interest in Viad. We look forward to speaking to you again next quarter. Thank you very much.